Unidentified Company Speaker: Good afternoon ladies and gentlemen welcome to Volkswagen’s Conference Call on the results for the period January to September 2011 based on the ad hoc and the interim report, we published this morning. Joining me today are Hans Dieter Pötsch, Member of the Board of Management Volkswagen AG responsible for Finance and Controlling, and Christian Klingler, Member of the Board of Management Volkswagen AG, responsible for Group Sales and Marketing. You can follow the webcast and download the chart from our website www.volkswagenag.com/ir. Questions can be sent by e-mail or called in. Following the presentation, we will first take questions from analysts, and then at the end, we will make sure there is time for questions from journalists. Let me now pass you over to Mr. Pötsch.
Hans Dieter Pötsch – Member, Board of Management, Finance and Controlling: Thank you and allow me to add my warm welcome to those of you joining this call today. It is my pleasure to be able to report on the strong performance over the first nine months of this year. We delivered more than six million cars for the first time an increase of 14.1%, which equates just over 2.5 times the rate of the global market. The volume increase drove sales revenue up 25.6% with operating profit up just over €4 billion to €9 million and beating the full year figure for 2010. Profit before tax more than tripled to €16.6 billion benefiting as well from strong earnings from our equity investments and also from our revised valuation of the put call rights we hold on the balance of Porsche Zwischenholding. As you are aware, this was necessary and the Board of Management had concluded in September that the planned merger cannot be implemented within the timeframe provided for into comprehensive agreement. Automotive net liquidity ended the quarter at over €21 billion. We had a busy quarter with regards to the regulatory reviews on our offer with respected to MAN SE. This process has moved forward as scheduled as soon as we get the last required regulatory approval we will then move to settle the offer to the shareholders that tended their share. Full consolidation of MAN results within the Volkswagen Group will begin from closing of the transaction. We will come back to the operational points concerning our results in more detail a little bit later. For now, I would like to hand you over to Mr. Klingler, who will take you through our excellent sales performance. Mr. Klingler, over to you.
Christian Klingler – M ember, Board of Management, Group Sales and Marketing: Ladies and gentlemen, a warm welcome to the conference call from me also. This first chart shows the development of the world car market by quarter in comparison to the same quarter of the previous year. The growth recorded last year was mainly due to recovery of economic environment on the one hand and government support measures in many markets on the other. In some markets, the support measures expired last year, which explains declining growth rates. Therefore on a quarter-by-quarter comparison, we see that the global market lost some of its growth momentum in the second half of 2010. Despite a high comparison base from a year ago and a more challenging economic environment in many countries, the global market recorded further positive growth rates in the first three quarter of 2011. However in order to evaluate the relative development of the global markets, comparison to the last so called normal year of 2007 is appropriate what you see at the next chart. The positive influence of the support measures by the government in many markets led to significant market rebound in the second half of 2009. As incentives in many markets essentially in Europe were phased out, the rebound continued on a slower pace through 2010. Improving economic conditions in the major markets as well as the strong increase of demand in China and India lifted the market above the normal year 2007 during 2010. Continuously improving conditions in major European markets and expiring incentives in China brought us strong fourth quarter in 2010. In early 2011 the market lost some of the positive momentum as some of the emerging economies increased interest rates in order to prevent the economies from overheating. Some support programs like for example France were phased out. Conflicts in the Middle-East and North Africa as well as the situation in Japan resulted in some negative impacts for the market. In addition the industry struggled with supply shortages due to the disruptions in Japan. As a result the market for us also slowed in the second quarter. In the third quarter of the year despite the gradual relief in the supply chain the market for us remained muted. With the s sovereign debt crisis dominating the news, especially in Western Europe consumers are more and more unsettled putting the markets under increasing pressure. However the effects differ by region while the German market remains strong markets in Southern Europe are weaker. In addition, in some emerging markets has cooled. So we continue to closely monitor this elevated level of market risks. For 2011, out latest forecast suggest the global market will remain above the pre-crisis level of 2007 around about 5% higher than 2010. In the last quarter of this year the projected improvements in the major growth markets are likely to remain muted. However, we are confident that the year 2011 will have an all time record level in market conditions. We’ll now go to the next chart and turn to our own performance. In the first three quarters of 2011 our deliveries to customers have shown a double-digit growth. The Volkswagen Group continued to out perform the overall car market in the third quarter of 2011. We gained global market share in the first three quarters of 2011 supported mainly by the Group performance in China, Russia, India as well as in Germany and the U.S. You can see the next chart the market performance of the regions around the world in direct comparison to the performance of the Volkswagen Group in the first three quarters of 2011. With the exceptions of Central and Eastern Europe as well as South America the Volkswagen Group has outperformed the market in all other regions worldwide. In Central and Eastern Europe we increased our market share in many markets including Russia. The remarkable growth of the Russian market led to an increased of its relative waiting within the region however as our market share in Russia is below the Group’s regional leverage the overall market share in Central Europe being Eastern Europe certainly declined. In South America our market share declined slightly. The Brazilian market increased in relative terms more than our deliveries. Currently the competitive situation there is challenging with new players in the market and strong marketing activities of our competitors. In Western Europe despite the market contraction of 1.1% the Volkswagen Group recorded a positive result as we achieved an increase in our deliveries of 8.6%. As I already mentioned some of the major markets in the regions still suffer declines following the end of the support measures and generally weak economies. In particular the Spanish market contracted heavily by 20.7%. Now in the next page we will take a look at the performance of the individual brands of the Group. In the first three quarters of 2011 all our volumes brands achieved an increase in terms of sales and for the Group totally deliveries to customers exceeded last years level by 14.1%. Volkswagen passenger car deliveries were up by an impressive 12.3% to more than $3.8 million cars driven by strong demand in China, India in United States as well as Russia. Audi, delivers growth by 17.4% compared to last year to 973,000 cars. Skoda, expanded deliveries up to (665,000) cars mainly due to the strong demand in China and in Russia. SEAT as well as Bentley have also managed to expand deliveries. Volkswagen Commercial Vehicles and Scania have benefited from pent-up investment demand in many major markets as business renew fleets in 2011. Let us now take a look at a few highlights on some of our new models which we provide a good base by our sales performance in the coming months. The Volkswagen up is a small great car for Volkswagen, good value and likeable, intuitive and simple (pure) Volkswagen all what makes sense, shown at the IAA in Frankfurt the Volkswagen up will hit the road in November this year. With the introduction of the new Audi A6Avant the exquisite driving experience of the A6 alone enhanced yet again by innovative features like such as dynamic steering and clutch with sport differential. The Audi A6 Avant was introduced on the markets last month. We already launched Volkswagen Amarok enhanced by a single cab version moreover and eight gear dynamic gear box combined with the 132 kW BiTDI engine will be launched for the DoubleCab version in 2012. The Volkswagen Amarok is ready for all terrains tested by Dakar. The Skoda Rapid is a value for money car with high built quality for the Indian market. It is comfortable car for the family with an elegant design and an efficient drive. The Rapid will be introduced in the Indian market by the end of this year.
Unidentified Company Speaker: Thank you, Mr. Klingler. Now let’s switch back to Mr. Pötsch for some more details on the key elements of our financial performance.
Hans Dieter Pötsch – Member, Board of Management, Finance and Controlling: In the first nine months of 2011 sales revenue increased by 25.6% to a €116.3 billion. Higher volume was clearly the most significant driver at $19.3 billion which also includes the impact from the inclusion of Porsche Holding Salzburg from the first of March. Pricing improved by €0.3 billion for the first nine months. Mix including both product and country mix contributed €1.7 billion to our performance. Exchange rates continued to trend from the half year report with a year to date negative of €0.8 billion having turned from a small plus at the start of the year. Scania reported a €1.5 billion improvement in revenue. Volkswagen Financial Services also improved up €1.8 billion. The increase in sales was also the major factor behind the improvement in the operating results which increased from €4.8 billion to a €9 billion in the first nine months. Volume together with price and mix effects came to a total positive of €4.7 billion. Key drivers were volume and higher mix of cost with the benefit of a richer equipment content. Currency after hedging was a net €0.3 billion headwind while the U.S. dollar was negative positive contributions from other currencies reduced the impact. For the first nine months we were able to reduce our product costs by €0.8 billion thanks to the efforts of our global purchasing teams in association with their engineering colleagues. Fixed cost and deprecation increased by €1.3 billion as the ramp-up of the additions to our production network including the first cost from our new plant in (indiscernible) and higher engineering costs as we invest in our future continued. Scania increased earnings after purchase price accounting by €0.1 billion building on an excellent 2010 result. And finally our Volkswagen Financial Services Division added a further €0.2 billion. In total the operating result came in at €9 billion for the first nine months. Let me now turn to cash flow in the Automotive Division. At €12.4 billion operating cash flow was up 7.9% over the first nine months of 2010. on the investment side cash invested increased to €8.6 billion which includes €3.3 billion for the purchase of the Porsche Holding Salzburg activities as well as the stake in SGL Carbon announced in the first quarter as well as the increase of our increase of voting rights in MAN to 30.47% in the second quarter. In addition we are investing in the MQB Toolkit focused in particular on the first models that will be launched in 2012, as well as booking investments in our new small family of cars where we are in the ramp-up phase, right now. Excluding one-ups cash invested increased by €1 billion to €5.3 billion. Our CapEx ratio at 4.1% was just over the 4% we recorded last year. As the year closes the ratio could rise to between 5% and 5.5%. Despite the strategic investment that just mentioned net cash flow over the first nine months for the Automotive Division came in positive at €3.8 billion. The (indiscernible) Automotive Division, net liquidity is up around at €2.5 billion on the year-end 2010 to a new record of €21.2 billion. This strong financial foundation supports our steps along the strategy 2018 path and to choose we have adequately created to peruse our strategic goals including the Integrated Automotive Group with Porsche in combination with a strong financial rating. Please also bear in mind that we expect an outflow of around €3.4 billion in the fourth quarter through the settlement of our offer to MANSE shareholders. And while commenting on the settlement of transaction I’d also like to add that in the coming quarter we expected to see a three digit million non-cash charge in the profit and loss statement from the reclassification of our equity stake to a fully consolidated company. This chart in essence relates to the current market value of the existing stake we have in MAN before the tender offer. Now let me turn to the financial performance of our brands. For the first nine months the Volkswagen passenger car brand posted earnings of €3.3 billion more than double the prior year period. The brand achieved the strong 4.7% margin the third quarter and 4.6% over the nine months period. Audi’s margin too impressed an excellent 13.1% in the quarter meaning that the margins have been over 10% in every quarter this year. A €4 billion operating result year to date further cemented Audi’s excellent earnings track record. This €575 million Skoda once again banked a very good performance, sales lost half in the (indiscernible) of a very tough Southern European market. Bentley improved remarkably with a second quarterly operating result in the black. The Volkswagen Commercial vehicles more than doubled their result anchored on solid growth. Scania reported a good result of just over €1 billion. The other line in the chart includes the elimination of inter-company sales as well as the purchase price accounting charge with regard to our consolidation of Scania. In addition since March the 1st results for Porsche Holding Salzburg net off PPA charge are included here to. Volkswagen Financial services reported an improved result of €876 million up 200 million resulting from a higher number of contracts and an extension of activities combining the Automotive and Financial services Division gives a total operating profit of €9 billion for the first nine month. This brings me to the financial results which for the first nine months came to a positive €7.7 billion. Now given the magnitude of the result allow me take a little time to go through to key drivers in detail. To begin with just a short remainder that here we include the results from our equity accounted investments changes in the valuations of derivatives as well as interest related costs. The company we consolidated equity recorded a strongly positive result reflecting again the excellent performance of our Chinese joint ventures which reported a proportional operating profit of €1.9 billion as well as our 49.9% holding in Porsche Zwischenholding which after PPA reported a clearly positive net result. The respective put and call rights with regards to our plant integration with Porsche are valued as with any derivate instrument on a regular basis. At the end of Q2 the evaluation stood at €3.9 billion primarily based on strong underlying earnings projections for Porsche AG and a major likelihood of 50%. In September we announced that the merger of Volkswagen, Porsche SE was no longer expected within the timeframe of the comprehensive agreement. As a result the likelihood of a merger for the purposes of the put call rights evaluation was reduced to zero. This had a significantly positive effect which was further boosted by lower interest rates. The impact in the third quarter financial results is a positive €4.7 billion giving a net positive €6.8 billion for the period January to September 2011. As you are aware the Board management is currently analyzing with the other potential courses of action exist for achieving the goal of creating an integrated automotive group of Volkswagen and Porsche in addition to the put call options laid down in the comprehensive agreement. The results of this examination will be presented to this advisory board before the end of the year. In the first half of 2010 we purchased a stake in Suzuki of 19.9%. In the course of the third quarter we have reclassified our stake in Suzuki from equity to fair value reflecting the announcement by Suzuki of its intention to terminate the master agreement and the lack of progress on corporation. This change in accounting treatment should in no way be taken as a softening of our position and we have no plans to reduce our stake. This accounting charge change had a net negative impact of $2063 million in the financial result based on our mark-to-market valuation. So to bring this part of the call today to a close just a few words on our outlook statement which you can read in the interim report in full. With deliveries in revenue after nine months already closed to full year 2010 numbers. And operating profit already to hit 2011 will clearly be a record year for the Volkswagen Group. What makes our Group unique is our brand portfolio this and the management model which underpins it is one of our key competitive advantages. Our growing presence in all key regions of the world is another particularly as some of the older more material markets have been slowing. On the cost side the modular tool kit system is having an increasingly positive effect on the Group’s cost structure. This does of course take some not in considerable effort and you should expect some up front impact in the coming quarters. At the same time our brands are continuing to introduce fascinating new models thus further expanding our strong position. As we move into 2012 in the midst of the global economy facing uncertainty with a strong balance sheet and improved cost structure together with high flexibility in production and a strong product portfolio. With the leading edge in technology we consider our sales well prepared for the tail-enders to hit. Our performance in 2011 provides us with an excellent platform to continue on our strategy 2018 path. We need to be the leading automotive group in the world qualitatively, quantitatively and of course financially.
Operator: Mr. Pötsch. Thank you very much. We’ll now begin with the questions-and-answer part of today’s conference call starting first is the questions of analysts. We would now take our first question from Jochen Gehrke from Deutsche Bank. Please go ahead.
Jochen Gehrke – Deutsche Bank: Yes, good afternoon, just three questions, if I may. First of all, with regards to the Porsche option and the communication that we should expect in the coming months, does the fact that you have booked now a multi-billion profit change your thought process versus exercising the core towards continuing to pursue some sort of merger? Does this have any impact at all and if not why are you just not exercising the core now this is so deeply in the money, and also three years down the line? And secondly, with regards to pricing, yesterday one of your competitors noted a change in the pricing environment in September. And when we look at Q3 obviously Volkswagen didn't have a major sequential change. Can you confirm this that the European pricing outlook is worsening and should we therefore, expect negative impacts in the fourth quarter? And then, finally with regards to MQB I think you were rather cautious most recently when it came to whether 2012 would have a net positive impact, with cross positives on the cost side being potentially compensated by the start-up costs. Is this still true, or, as we are approaching closer to the launch of this project, have you become more comfortable with the impact in 2012? Thank you.
Unidentified Company Speaker: Okay thank you. You are from U.S. three questions for us. The first we first to the put call option and the structure for in using a put or the call if this has any impact because the call is in the money if that has any impact of exercising actually the call option. The second question refers to the pricing environment in Q3 if we can give there some details and also a little bit an outlook with regard to the fourth quarter and if we can confirm that pricing is worsening and if we do expect here negative effects coming. And the last question is with regard to the introduction of the MQB you are mentioning that we were quite cautious if we can expect an first net positive impact in 2012, Q2 will ramp up costs with regard to the MQB if we can give you a little more insight or is that how it will- what can be really to expect next year.
Hans Dieter Pötsch: Maybe if you allow I would start with the question about pricing. It is true that the European market 2011 was shaped by the phase-out of several environment incentive programs. So for example in France and I think some of the Frenchmen effects was have particularly insisted on the pricing issue. However science promotion activities within the competitive environment have been stable in major markets of Southern Europe as well as for example in Germany. If we come to the third quarter feeling from us and I’ll talk about the general market is that yes there has been more insecurity in the market yes the customers have had more concerns about what will happen and, yes, some of the competitors had in some of the markets much more efforts to do in the pricing. What is concerning us we have increased our prices in the third quarter. If an outcome to the perspective with the fourth quarter in general about the market we believe that there is a strong impact in Europe about the concerns of possible debt crisis. So some of our customers are bit worried to buy the cars. This is much more true by the way for so called end customers by the way the other saying than the others than fleet customers. So we believe that the conditions will stay more complicated in the last quarter of 2011 and then it was even in the third quarter. This market conditions will be impacted by general solutions on this debt crisis issue. And we feel that we have relatively good base for continuing our way which is in pricing, let’s say keeping the prices on a reasonable level. Nevertheless, we’re working like everybody the market conditions or in the market itself and therefore if it’s necessary we also would have to think about if we go to some pricing activities. But as you know we are always prudent on the pricing issue.
Christian Klingler: So let me continue with the question on Porsche and whether our thought process got influenced by anything like the numbers I was just introducing. Let me first of all just to avoid any misunderstanding here say that essentially all parties remain committed to do goal of creating what we call the Integrated Automotive Group with Porsche. And we are absolutely convinced that this will take place that first of all the fundamental point. Secondly for the reason mentioned the merger cannot go forward 2011 with – which was one of the options sitting in our comprehensive agreement. So as long as it stays within the comprehensive agreement it’s clearly now on the side of this put and call option scheme. Clearly carrying the disadvantage which you are aware of which is that for either company it means that realistically execution can only happen year 2014. Now I think this is a situation where for a reason management has taken the decision to enter into this thought process to try to identify alternatives to that if there are alternatives available and this is still the process which we do execute that there is so far at least no new information I can feed into this. Second question on the MQB platform and also their just to make sure that there is not any (fogs) created you are well aware that we are committed in terms of one off expenditures in terms of unit costs in terms of engineered hours to achieve pretty ambitious target and fortunately I can say that after most of the process it has gone its way we will reach these targets. Now the reason why we are to take your word cautious for 2012 this is a very simple one. First of all we’re talking about almost Group wide introduction of this platform which of course is having a very major effect to a lot of production plants in the Volkswagen Group. So this is one important point to have in mind that’s also why I hinted towards some up front costs until we start producing the cars on that platform. The second reason being that the volume which we can produce up cars sitting on the MQB platform in 2012 is rather limited. This was changed in 2013 and already 2014 we will pass over the €2 million mark and in terms of cars built on the MQB platform. So we got long story short. We are very much looking forward to see this becoming effective also to read the effects in the P&L clear there is someway to go and again in 2012 the effect for the reason that volume will be limited can only be limited.
Unidentified Company Speaker: Okay thank you. Next question please.
Operator: We will now take our next question from Horst Schneider from HSBC. Please go ahead.
Horst Schneider – HSBC: Yeah good afternoon just couple of question from my side. First of all, it strikes me in your others line that the others - the burden in this line is getting higher. Is that due to higher inter-segment revenues just, or is there anything else included? And should we expect also in the next few quarters a similar high burden in this line? Then the other issue is on provisions. I’m seeing that you have increased again provisions in Q3. I think it was in other provisions €1.2 billion and also you have increased again your pension provisions. So what is the precise reasons behind that? And I assume that the pension provisions have been booked against equity directly and not does not effect us in the results right and -- yes. And then the last question is with regard to MAN. You’ll say also that you expect approval from China in the next few weeks, so that means that we'll probably see in Q4 the full consolidation of MAN. Could you tell us or could you give us already some hints on the potential negative impacts coming from the PPA amortization? Thank you.
Unidentified Company Speaker: Okay thank Horst. You have three questions for us. The first one refers to the line other and the higher figure there and if we can expect a similar high burden in the coming quarters and especially you would like to have see some details what is behind that figure. And then the second question refers to provisions and if we can explain some reason for an increased provisions. And the last question refers to the MAN offers and the expected approval by China and if we can here give you some details with refer to the intake by the expected PPA.
Hans Dieter Pötsch: Okay so let’s get started with the other line in the operating result. And of course there are a number of effect included one being the elimination of inter-company profits. Second also important point is the PPA charge on Scania and the Porsche Holding Salzburg. I think the second point stands for itself so let me have a little comment on the first point. I think what needs to be under student and if you run your models which we should built into these models is that if you look back the Euro so its very clear and we clearly set this always that the stock situation is hard to low relative to the intended volume development. So essentially this means an fortunately we’re able to help my colleague a little bit in the mean time still we run a bit short of operating it what we call ideal level of stock but there was some stock built up which is absolutely necessary to support the level of volume which we execute in these month now. Clearly speaking if you produce to keep cars on stock it means that finally the margin sitting on that car is not being realized with the third party and this means very clearly in the consequence its increasing intercompany profits, which needs to be limited that’s one part. The second as I said is the PPA charge sitting on deadline. Also consequently as we it’s ever than only slightly will continue to build up stock. The incremental development on that line should remain rather limited for the fourth quarter. So, on the second question provisions built up if you allow me to stay very short there it should also come with no surprise that as we are building up volume and as a number of provisions just simply speaking proportionally buildup with the volume. It reflects to a quite decent part the volume development. In terms of the pension provision, as you are already rightly said that the development does reflect a change in the interest rate we underlined for the pension provisions and the system we have in place means that this is being reflected in the equity don’t have an affect on the P&L side. Fourth question yes, we do expect still within this year and the next weeks to come the approval, the final approval on MAN. So we have then complete (vertical) control clearance, which leads to the full consolidation of MAN. And consequently there is a new purchase price allocation to be done, which is going to hit on a 12-month basis our P&L the next year then with the three digit amount.
Horst Schneider – HSBC: Maybe a small follow-up on inventories. You said that you reduced a bit under-stocking. I remember in previous conference calls you have said that you are under-stocked by around €150,000, €200,000 excluding China. So what is the remaining under-stocking now still that is left?
Hans Dieter Pötsch: Being a little bit reduced but still is in that category.
Horst Schneider – HSBC: All right. Thank you. Okay, thank you.
Unidentified Company Speaker: Okay, thank you. We take the next question please.
Operator: We now take our next question from John Lawson from Citi. Please go ahead.
John Lawson - Citi: Thanks very much. Firstly, just on a point of information the reason that the related company line is so weak in the third quarter it's down on 2010, is due to that charge against the Suzuki valuation right of €260 million? And I think I heard you say that you would do something like the same in the fourth quarter for MAN assuming that that one got away in that time? And then the second question is if I look at the related party disclosures the supplies and services rendered by you are now running at well over €3 billion per quarter. I wonder if you would just be able to say is that driven more by higher parts export sales to China or is it simply parts for Cayenne and Panamera building up in the current boom in Porsche sales? Thanks. Well they have lost me?
Unidentified Company Speaker: Okay. Thank you.
John Lawson – Citi: Okay. Thanks.
Unidentified Company Speaker: Okay. John you asked two questions for us. The first question refers to the results from associates is that comes from Suzuki that was your first question? And your second question is in related party disclosures what are suppliers and services brand is?
John Lawson – Citi: Yes what’s driving those?
Hans Dieter Pötsch: That’s easier for me to give the answers obviously. The first answer is in U.S. you are right its related to Suzuki and in terms of the services rendered the China played the key role there as business is growing substantially.
John Lawson – Citi: Thanks.
Unidentified Company Speaker: Okay. Next question, please.
Operator: We will now take our next question from Michael Tyndall from Barclays Capital. Please go ahead.
Michael Tyndall – Barclays Capital: Yes. Hi, there. It’s Michael Tyndall from Barclays Capital. Thanks for taking my questions. Two questions. The first actually relates to the Korean manufacturers. Your CEO seems to have taken out a bit of an interest in Hyundai. And I note that we've now got a free trade agreement with Korea in Europe. I’m just wondering whether or not you've noticed any change in the behavior of the Korean OEMs over the last quarter and whether you are changing your opinion of them going forward in terms of seeing them as being tougher competitors going forward? The second question just relates to the UP! Mr. Pötsch, you mentioned recently that the costs were extraordinarily low. I just wonder if you could give us some feel for what the profitability looks like and whether or not that profitability is a function of you reaching full volumes and when you might expect to each full volumes on that? Thanks. 
Unidentified Company Speaker: Okay. Thank you, Michael. You have two questions for us. The first one refers to the Korean manufacturers and if the change in the free trade agreement is that has any impact in the behavior of such competitors? And the second question refers to the profitability of the UP! If you can give you some more details and then actually we have we received the full volumes there?
Hans Dieter Pötsch: Maybe I will try to answer the first question about the Hyundai. I think we have since the certain time mentioned continuously that clearly one of our main competitors is Toyota and clearly one another is Hyundai. And if talk Hyundai, of course, its Hyundai Group integrating Kia. So what we can see on the worldwide level is that to do a pretty aggressive job putting a lot of new cars with good quality into the markets and that it take a very strong advantage from a little bit bizarre situation, which is in Korea itself as they have more or less protected market essentially with bigger costs and the market share is a little bi higher than 70%. So the majority of the money they make there and as a consequence they have a good possibility to export it on the low cost price. So I now come to Europe. Let’s be honest we have not seen a dramatic change in the last quarter due to the change in import duties. We have always said that we think that it is for the automotive business maybe not the wisest decision to open up the European market for Europe, for Korean manufacturers in not being having the same opportunity and possibility to have an open market in Korea, which is pretty evident as I would say so the import market in Korea is still extremely limited. We do take them very serious. We see we believe that they will come more aggressive to Europe and we believe as well that they will take advantage out of this new import duty situation. We are very prudent on that. On the other side, we are lobbying as well that the European governments to understand that automotive business is one of the key and core businesses in Europe and there is some needs to defend as well the interest as long as it’s let’ say an equitable partnership, which means if we open us they have to open as well.
Michael Tyndall – Barclays Capital: Thanks.
Hans Dieter Pötsch: So, on the UP! which we are very proud about it. Its being one of the, if not the start on the FrankFurt motor show. I said that following your question on the margin that I’m not afraid about this because our engineers managed to establish let me call it adequate costs now as the guy he is here responsible for finance you should not expect me to say job done. I would say there is still good potential to move the costs further down. I think essentially speaking it is a true Volkswagen with the right positioning and we are able to make money with this that’s I think the very key point and I know that few of you have been doubtful on this. So in terms of when will we would be able to reached a maximum output there. The first comment here that which also should not come as a surprise similar ways with the other cars also with these car there won’t be any comprise on the quality side so this is very clear quality comes first. So limitation will not come by the market because the model was extremely well received but we will build up volume following the achievements in terms of continuous top quality for this car. Then we should not forget we are looking at a six digit amount of cars volume wise so it means this will take several months down the road until we are there. But I think we all feel very excited, very comfortable that we’ll get there but still there is some way to go.
Michael Tyndall – Barclays Capital: Thanks very much.
Unidentified Company Speaker: Okay. Next question please.
Operator: We will now take our next question from Stephen Reitman from Societe Generale. Please go ahead.
Stephen Reitman – Societe Generale: Yes, thank you. Good afternoon. Stephen Reitman from Societe Generale in London. Two questions. Could you first of all comment on China particularly we’ve seen a growing share of sales from Audi coming from imported cars, which are presumably higher priced and a higher value. Do you see that trend continuing over the next quarters in terms of forward orders you are seeing? And secondly, could you comment as well about how the Chattanooga plant is bedding down and what implications that has plus the new models you’re launching there and Beetle and others for the profitability of the North American region 2012 onwards? Thank you.
Unidentified Company Speaker: Okay. I have two questions actually Stephen. So the first one you are asking for comment on China you are seeing an increasing share of imported cars from Audi if that is the trend or is that trend would continue if you can give you some more insight? And next question is with regard to the U.S. how Chattanooga is bedding down? How that is new models and profitability is developing?
Christian Klingler: Well if you talk about China and the Audi sales there in general the Chinese market is still on a reasonable good pace and we see in general an increase of the so called premium brands there. So, this is I think the first remark which is important to keep in mind.
, :
Stephen Reitman – Societe Generale: Thank you.
Christian Klingler: If you now come to Chattanooga the Chattanooga plant is the home of the American Passat, which we have launched in the end of September. This is a model which has been particularly made for the North American region, where we have growth a longtime to be very much in fit of what the customers wants and as well it’s a happy base, which is in the sweet spot of the competitors. So just for the understanding this segment is one of the biggest segment in the United States. It’s developing reasonably okay and is basically one of the core segments of passenger cars. So we have seen a very good ramp up growth up to now from the Chattanooga plant. And I have to admit that from the results of the first weeks, we are extremely positive. We have a very good launch made in the first three weeks. And we have done there, where we see that the acceptance of the customers for the car is good So we are winning tests against our direct competitors like Toyota and we are gaining a strong sales momentum as the car and its advertising campaign is very well accepted. Maybe you remember that we have had through the Super Bowls our small spot with this Darth Vader by the way the most successful spot ever done in any media since the beginning and we have used it of course as well here for the launch. So if you ask us how we are seeing the tendencies after these three, four, five weeks, first we see dealers in full enthusiasm. Second we see customers, which are really liking the cars and third, we have to admit that the at least from the starting point of the car we have the very good feeling about the perspectives. In the same time, we are having to say that we will launch or we have launched the Beetle in the United States and up to now we see as well here a good acceptance from the first glance knowing that there is period of time, ready market, ready cars in the market is a little bit smaller. So in general Volkswagen in the United States seems to be back. The customers are there and we get let’s say a good signs of getting comforted in our goals, which we have in our 2018 marketing strategy.
Stephen Reitman – Societe Generale: Thank you.
Unidentified Company Speaker: Okay. Thank you. Next question, please.
Operator: We will now take our next question from Fraser Hill from Bank of America-Merrill Lynch. Please go ahead.
Fraser Hill – Bank of America-Merrill Lynch: Yes. Hi, good afternoon. I actually have two questions. First question was also on the Audi imports. Could you actually give us a number on the imports? As far as I can see, it looks to me as if maybe 10% of your Audi units sold in China last year were imports. I just wonder how that progressing and, particularly, whether you've seen that growth rate pick up significantly in the third quarter. I know that you mentioned in your statement an 80% growth in those imported units, but could you just actually give us the number of units that you are now actually importing? And would you agree with an analysis that you're making, certainly, somewhere closer to a mid to high teens I would say maybe a €5,000 to €20,000 per vehicle profit on those imported units if I just look at your pricing differential on something like the Q7 relative to a typical Audi margin? And that being the case, does this explain why you're seeing the Audi margin continue to progress so well in the third quarter? The next question I've got is on your China business as it relates to the associates line. Obviously, you had a pretty good pickup in the proportionate operating profit that you disclose. And again, if I look at that, I think it was something like €746 million of proportionate operating profit in Q3 versus €600 million in Q2. So, again, you were adding profits at a rate of about €3,000 per vehicle, where typically, that business of yours in terms of just the core VW business in China tends to contribute somewhere closer to €1,000 per vehicle. So what was really the factor behind that, that sudden leap in profitability per unit through your associates line? Was it just economies of scale or pricing, or what was that?
Unidentified Company Speaker: Okay. Thank you, Fraser. You have interesting questions for us and I can show you that we cannot answer all your details you want to know. Good. First question that refers again to Audi imports if we can follow our absolute number of units we have imported in the third quarter and you are also interested in the margins we achieved with these costs? And the second question also refers to the China business and the earnings per unit we do achieve and if we can also give here some more details which are the reasons behind at least your calculations you did for the earnings per unit? If we can give you some more details?
Hans Dieter Pötsch:
 :
 :
 :
 :
Unidentified Company Speaker: Thank you. Next question, please.
Operator: We will now take our next question from Thierry Huon from Exane BNP Paribas. Please go ahead.
Thierry Huon – Exane BNP Paribas: Good afternoon. It’s Thierry Huon speaking from Exane BNP. Two questions I if may. First of call according to what you said about the UP! My understanding is that UP! will probably giving birth to a family of products is that mean that you will have another model or toolkit specifically for this family and this type of cars in the future? And second question, could you give us some details about the contribution of Porsche distribution we had in the third quarter? Thank you.
Unidentified Company Speaker: Sorry Thierry, we didn’t get your last question actually.
Thierry Huon – Exane BNP Paribas: So my last question was about Porsche distribution Salzburg and to know what was the contribution in Q3 numbers?
Unidentified Company Speaker:
 :
 :
Hans Dieter Pötsch: Okay. So maybe I’ll start with the UP! and the question is there thinking about of making a tool kit compared to the MQB or to the MOB. First as you know, we are in direct launch activation of our UP! as well as the launch of the cars of the other brand. Of course if you have the nice concept like this you think on two directions one is the internationalization of the concept. So we do not exclude for example to have thinking about South America on the kind of car.
. : Second it is for us coming back into the segment, which is very important in Europe and where we have left essentially the place to other manufacturers mainly Italian and to some extent French as well Japanese ones and it will give us at least in our feeling a good possibility to come back into that segment and having a good attractive business for our customers. It is well important from a strategic orientation as its an entry car but not an entry car, which is not Volkswagen, it is a Volkswagen and gives us the possibility then for selling up to other models. So we are very happy about that. The directions of our customers is up to now very good and we will launch the car in the market in the next few weeks.
Thierry Huon – Exane BNP Paribas: If I may, if this car is not based upon the MQB system so on which system this car is based on?
Hans Dieter Pötsch: This is a separate tool kit but as Mr. Klingler explained that we’ll be looking forward to several derivatives sitting on this tool kit. So, if we look at the scale effects possible we’ll also have another important instruments to play with. And then to pass on the number for the Porsche Holding Salzburg if that was the question.
Thierry Huon – Exane BNP Paribas: Yes.
Hans Dieter Pötsch: For the third quarter after PPA it’s roughly 30 million.
Thierry Huon – Exane BNP Paribas: And what were the amount of PPA?
Hans Dieter Pötsch: Let me quickly see at this probably 20.
Thierry Huon – Exane BNP Paribas: Okay. Thank you.
Unidentified Company Speaker: Okay. Thank you. Next question please.
Operator: We will now take our next question from Stuart Pearson from Morgan Stanley. Please go ahead.
Stuart Pearson – Morgan Stanley: Yes, good afternoon. I just had I guess, two or three questions. Firstly, just on the European premium car market, historically demand of premium cars in Europe does show a relatively strong correlation to the stock market so I guess the dealerships are doing well today. But in general have you seen any change in premium car demand or the pricing environment in recent months? And would you expect that to take place in 2012? The second question, actually, on used vehicle pricing. I guess, as Volkswagen, you have the most complete view of almost any car maker on those used vehicle prices around the world. Have there been any notable changes in trends in any particular segment that are worth highlighting as we start to see confidence wane have we started to see those prices come down at all? And lastly, just on Brazil, this was an area you mentioned increasing competition in Q2, and I guess we have seen a lot of news flows of varying type over the last two or three months. I wonder if you could just update us on how the competitive environment has developed there, please.
Unidentified Company Speaker:
 :
Christian Klingler:
. : So we try to be as reasonable and as logic in all measurements to do that as well for our brands. If I come now to the development over the last few months, we see that the very positive tendencies that means the increase of residual values is now not more on the same level. This does not mean that you have fallen down significantly. It just that means that now they now come to a normal pace and of course we are very much looking forward to how the development will come. There is in general a small increase of stocks in the dealer level so this always a first sign that if we want, so a pool market will come to a different situation. And I just feel that now we have more or less a normal situation in the used car market. We are very tangible on the used car market. We do have a very I would say so clear monitoring system and we are really looking into all of the possible first indicators so that we keep on, we are being prudent there. But up to now, at least in the last quarter we cannot see significant negative impacts on the used car market. If I now come to the question about Brazil, it is true that the Brazilian situation in terms of competition is getting rougher. This has several reasons one is that the growth of the market has gone down in percentage essentially due to measurements, which have been put in place by the government to reduce inflation. So therefore for example the interest and essentially in terms of the only the interest rates but the interest rates conditions for an end customer has been changed so the costs of the new credit has been increased by more than 20% for customer. We see on the other side an acceleration of good competitors coming to the market, which is giving you an example I don’t know if you have heard about the Chinese competitor with the name (indiscernible). So he set into the market through an FBU, which means the import business and had very successful launch there. We see as well that our core competitors like Fiat in that case and General Motors are of course as well fighting and we see that the plans of the other manufacturers, which have been announced one, two, three years ago will now come to end of construction and the costs are coming step by step into the fields like for example for Toyota and as for Hyundai in Kia. So yes the market conditions are getting rougher. We will have this certainly at least in our feeling over the next months to come. The market will go a little bit more soft and yes we are keeping and going to be in the market on a reasonable level without getting an exposure, which is not reasonable on the incentive. So this is more or less what I would like say to Brazil. Now if I come to European car market, on the premium car market was essentially a question. I would say so that as I have said before the European car market in general has a little bit softened over the last few months. And the consequence of course the premium market have had as well to maybe a smaller softening tendency. We do not see an important impact up to now but I’ll give you one example. It’ much more localized in regions. For example in Italy of course the actual situation, which is not really very funny for the customers has an impact on the premium market by the way as well on the volume market on the same level. So therefore what we could say is because I think you said there is a direct relation between stock market and premium market this maybe we cannot 100% confirm. Of course if the stocks are fine people buy cars and that level have more money but that is not always the case because in Europe for example a good portion of these cars are company cars so its not only depending on the level with somebody joining on the stock exchange. So in summary for the European car market, we believe that on the premium level over the last quarter there has been some softening on some regions and the others none. And as I said before, we keep having eye very close to the market conditions because of course that will be maybe some impacts over the next few months to come, which are not extremely positive.
Stuart Pearson – Morgan Stanley: Okay. Thank you.
Unidentified Company Speaker: Okay. Thank you. Due to the limited period of time I would like to ask you to raise one question only. Thank you.
Operator: We will now take our next question from Ranjit Unnithan from JPMorgan. Please go ahead.
Ranjit Unnithan – JPMorgan: Hi, there. Thanks for taking my question. So I'll limit it to one. In terms of costs for next year if you were to look at the two components of your operating bridge, which is product costs and fixed costs, this year it's a negative, I think about €0.5 billion this year, probably annualizing to about maybe €0.7 billion for 2011. How should we think about this for 2012? How much is this number dependent on car volume outlook for 2012? Should we expect something in a similar region, or higher? That’s it.
Unidentified Company Speaker: Okay. Thank you. So you are interested in our – in an outlook for our expected product costs and fixed costs in 2012 if you can give here some first indications if you have to expect a similar development or similar range you have seen this year so far.
Hans Dieter Pötsch: Okay. So first of all I think we need to have in mind that by external factors we will see cost increases on the tariff side on a full year basis going forward. It will be also some effects coming in on the material side and certain commodities. On the other hand, as you were well aware we have been very successful in amortizing on the scale of the company. So if you look at the swing factor analysis for the first nine months in 2011 then we were able to turn up with an €800 million in improvement in terms of product costs. And I think we can be very confident that we will be able to achieve also something sizable going forward, which will compensate part of the external cost factors coming in. On the fixed costs side, we have to bear in mind that we are still building our global footprint, which means we should be – we should have pass them over to peaks in that development but still something is to come as we build the new manufacturing locations to full capacity. This is specifically related to the plants in India, in Russia, in Chattanooga, in Mexico and a few more. So we have to expect a negative swing also on the fixed costs side probably slightly less than what we have seen this year.
Ranjit Unnithan – JPMorgan: So, if I can quickly follow up are you saying that the two factors netted together will be a less negative number in 2012 versus what it is in 2011?
Hans Dieter Pötsch: That’s what we think.
Ranjit Unnithan – JPMorgan: Okay. Thanks.
Unidentified Company Speaker: Okay. We take the last question from an analyst then.
Operator: We will now take our next question from Christian Breitsprecher from Macquarie. Please go ahead.
Christian Breitsprecher – Macquarie: Christian Breitsprecher from Macquarie. So I'm lucky. I just have a follow-up question on the Porsche options. You said that basically the options could only be exercised or realistically be exercised in 2014.Why is that? Is that purely related to the tax issue or is there anything else that would keep you from exercising the options earlier?
Unidentified Company Speaker:
.:
Hans Dieter Pötsch: I think you are well aware that there are execution windows before 2014 but there is a significant tech burden potentially sitting on this and that’s why I have the term realistic. So realistically an execution from the today’s point of view is only possible in let’s say the framework of 2014 which is quite long way to go.
Christian Breitsprecher – Macquarie: Okay. Thank you.
Unidentified Company Speaker: Okay. Thank you. We would take now a question from a journalist please.
Operator: We will now take our next question from Jan Schwartz from Reuters. Please go ahead.
Jan Schwartz – Reuters: Yes. Thank you and good afternoon. I would like to just ask two questions if I may. The first is to get to a little bit more about Suzuki. You spoke about that it won’ reduce; it won’t change the stake in Suzuki. What are the next steps you are going? When do you think, do you get any chance for peace talks with Suzuki? And the second is to get more about 2012. How long does the order book take you into the next year and looking to the market conditions, where will the growth come from and which regions do you expect them? Thank you.
Unidentified Company Speaker: Okay. Thank you. We have two questions from Christian. So this is one…
Jan Schwartz – Reuters: Its not Christian, its Jan.
Unidentified Company Speaker: I’m sorry Jan. So it’s first referred to Suzuki if we can give an update here. And then the next question refers to 2012 order book and if we can explain the growth regions or the development of the markets next year.
Hans Dieter Pötsch: If I take the Suzuki part, which is easy because firstly I got to say that you should be well aware that we have taken this company position with the clear statement that we will not be making any changes to the shareholding in Suzuki but that the decisions between the both parties will be exclusively conducted internally and of course we would like to stick to what we said.
Christian Klingler: So if we now come to the question about 2012. We do have a reasonable order bank and we are still believing that we could come into the year 2012 with a reasonable order bank. Interesting on that is or important is that in 2012, the tendencies in the market seems to be different per region as you have mentioned. There are more growth potentials in one and in the other regions we’ll explain a little bit later. We believe that 2012 on the market in general could exceed 2011 but we are prudent because of course we need to understand how economical situations will go further on and how the confidence of our customers will be impacted by this economic situation. Growth regions in 2012 in our feeling will be essentially outside of Europe. So we see some signs that the Americas will have a cross orientation maybe to a smaller level but to a level so South America for example. North America as well we believe that there is potential which is essentially due to the very low still very low market in the United States. You should not forget that this market used to be 116, 117 million of cars alone and this year we are still far away from any of this kind of peaks. We believe as well as that in Russia the situation continues to be favorable. We believe as well as that in India there could be some have further growth potential and China could have a further growth certainly on a lower level but a growth over 2012. In Europe, we have differentiation so I would say it’s pretty easy. There are some regions, which gives us either stable or growth potential which is more in the north or in Germany and we see more issues in the Southern part of Europe, which is largely due to the discussions as well like in Italy certainly Spain and maybe to a lower extent in France. So this is what we could say about our perspectives in the market.
Unidentified Company Speaker: Okay. Thank you. We have one last question from an journalist then we close the call. Thank you.
Operator: We will now take our last question from Chris Bryant from Financial Times. Please go ahead.
Chris Bryant – Financial Times: Yes, hello, gentlemen. A quick question. A newspaper reported this week that Volkswagen would overtake Toyota as early as this year as the world’s biggest car maker. Officially your goal is still to overtake the top spot by 2018. Is there any need to revise this goal? Thank you.
Unidentified Company Speaker: Okay. Chris, thank you. You are referring to our strategy 2018 to become the leading car marker in the industry and you want to know if you have to revise our targets.
Christian Klingler: I think probably if the few people publicly pays more attention to this then we do actually. We can only say we have a very clear strategy in place, our strategy 2018 and that could leads to that position but essentially speaking for us it’s much more important that we become the best company in the automotive industry.